Operator: Good afternoon, ladies and gentlemen, and welcome to the AngloGold Ashanti H1 2024 Results Conference Call. All participants will be in listen-only mode. There will be an opportunity to ask questions later during the conference. [Operator Instructions] Please note that this call is being recorded. I would now like to the conference over to Stewart Bailey. Please go ahead sir.
Stewart Bailey: Thanks very much Denney, and welcome everybody to AngloGold Ashanti’s First Half 2024 Results. As always, Alberto and Gillian will cover the material in the call and you've got other members of the executive leadership team to take your questions. Before we go into the presentation I would invite you to look at the Safe Harbor statement at the front end of the presentation deck that contains important information regarding forward-looking statements and we do encourage you to study it when you have a moment. Without any further ado, I'll end hand over to Alberto.
Alberto Calderon : Thank you, Stewart. Before we go to the numbers, I’ll start with the safety. After three years with no fatalities, at our managed operations, we received the tragic reminder in May that we're only as good as our last day with no serious injury. [Indiscernible] a colleague and father of three who work for a drilling contractor at Geita lost his life with the light motor vehicle he was driving overturned after he lost control driving down a steep hill. Marcelo Godoy, our CTO completed an in-depth investigation into the incident, which identified clear steps to do everything we can, so that there is no repeat going into the future. Our thoughts are with Albert’s family and loved ones as we mourn his loss. I have led a series of town hall meetings across our business over the past few weeks reflecting on the learnings from this tradegy and leading a campaign to ensure continuous focus on the very few critical controls needed to eliminate what we call high consequence low frequency events like this. We continue to invest considerable resources in understanding the lure causes of all accidents including high potential incidents or near misses in order to prevent recurrences. This process is a strong indicator of the strength of our safety culture and the effectiveness of our systems and provides a good foundation of which to continue working to realize our ultimate goal of zero harm. Next slide, before we turn to the numbers in detail, I'm very pleased to report a strong operating and financial results for the half year. This results show the hard work that has been done by so many to improve the fundamentals of our business to drive productivity benefits and to manage costs. Most of our Tier-1 assets recorded a solid performance driven both by higher tons and higher grades mined. At the Tier-2 mines we continue to drive full potential initiatives to enhance asset performance. Now that we are well into the full potential execution, we have seen our costs trend lower. We will talk about that later. We are the only gold major that has reported so far to post an improvement in cash costs at the half, that means that we're able to capture the benefit of stronger gold prices. Revenue is up more than $400 million on year, all of which has flowed directly into the bottom-line. We are building a strong operating momentum into the second half when we expect to deliver not only further production and cost improvements, but significantly stronger cash flows. So, to go into the numbers, production was up 2% year-on-year driven by strong performance from our key assets. That result was significantly aided by a strong Q2 where production was 12% higher versus the first quarter. This was driven by Australia’s strong improvements following the biblical floating in March and Siguiri bouncing back from the recovery challenges that hurt Q1 production. Brazil's turnaround is a clear highlight with a cash flow turnaround that was barely imaginable a year ago. Our cash costs were 1% lower year-on-year as I mentioned a moment ago. This is not luck, in fact the improvement was achieved despite the stiff headwinds we faced in Australia and Guinea in Q1 and it is a testament to our production report potential program, which is yielding much of the benefit we expected and we believe more this is yet to come. On the back of these production and cost improvements, we are starting to see the leverage to a higher gold price that has been so rare across the sector during previous up cycles in the gold market. We reported a 65% increase in EBITDA to $1.12 billion and more importantly, a swing of more than $400 million turn in free cash flow, which came in at $206 million versus an outflow of $205 million last year. This was well up ahead of the higher price due to improvements in both ounces sold and costs. Most encouraging is that we anticipate a stronger second half. With that in mind, we have declared a dividend that reflects that confidence. Gillian will cover that in more detail but it is clear with that we have the conviction of the consistency of our operating performance and a commitment to ensure shareholders see improved returns. This of course underpinning by confidence in our balance sheet. Liquidity is very strong, gearing is low even while we invest in our existing portfolio and growth pipeline and we are well on track to achieve guidance. As I said in May, we were focused during Q2 recovering from the obvious Q1 challenges that caused us significant ounces in Australia and Guinea. You can hear, you can see the extent of the flooding that hit our Australian operations in March. Pits an infrastructure were flooded at Tropicana and crucially the 400 kilometer access road to this remote site at significant stretches underwater. This took some time to dry and cure sufficiently before it could reopen. Remedial works were completed in Q2 and we started operations successfully. This in turn saw improved production at both sites although ongoing rate fall during Q2 caused intermittent interruption to our supply lines into Tropicana, sometimes hampering our ability to restock consumables and another important items, Nonetheless, we expect to recover a significant portion of the lost production in the second half. I spoke about the challenges we saw at Siguiri in Q1, low digger availabilities, poor availability of spares and most of all the steep drop in recoveries. We have improved maintenance, address spare inventories and saw 38% bump in our tons in Q2. A new excavator has also been delivered which will help us to continue that improving trajectory in Q2. Metallurgical recovery stabilized at around 87% in Q2, up from the low 70s in Q1. In fact, we have seen average recoveries about 90% in July. We are looking at the work that can be done to improve carbon management and oxygen deficiency in the plant, which will help maintain and potentially improve these strong recoveries even when we introduced the challenging BD ore to the plant. The good news is that we're in no rush to do that given the ability to source ore from alternative pits. So we may only need the bid wining ore in 2026 and we will then be well prepared to process it. Brazil picture, it's probably not even us probably would have imagined such a turnaround. It's hard to overstate it that what has happened in the past 12 months ynder the new leadership we appointed last year. The team delivered a 15% year-on-year increasing gold production in H1 and 19% reduction in cash costs year-on-year. The free cash outflow of $140 million during the first half of last year, which hammered our half year result has turned into a $53 million inflow during the first half of this year. As you can see on the waterfall, this was not simply a gold price story, but rather was driven by the controllable factors, which we manage across the business. More extraordinary is that this cash flow result was achieved under the wake of a roughly $200 ounce discount for every ounce of concentrate we sold from Cuiaba, when that [Indiscernible] has been suspended. The very good news is that the path is now clear to restart that facility during the second half, which will allow us to resume refined gold production and start to recapture the full margin once again. Obuasi’s Q2 production was a steady 54,000 ounces. The v30 reamer continues to work as expected helping to safely push underground ore volumes for the larger open stopes. We’ve seen better results with ore tons in Q2 averaging around 97,000 per month 6% up in Q1, if you compare H1 to 2023 to H1 2024, we’re up 12%. We are however experiencing some challenges in Block 8, a very mature block with fewer suitable working areas, more congestion and has less flexibility that we’d like to have. And probably with the significant volatility in its grade in this last part of block 8. That impacted mine grades, particularly during April and May, the zones that we were mining. We did have however reach equivalent analyzed production of 300,000 in June and are on track to surpass that this month. Consequently, we expect to reach a production for the year around the lower end of guidance. We also anticipate - and this is probably the most important thing, strong catch generation from Block C during this ramp up. A solid cash - free cash for the year, surpassing $18 million, demonstrating a very strong cash flow potential. As I've said before, the real price that will is coming relatively soon lies on the higher grade block 10. This is virgin ground with average grades about eight in addition in later years there is Block 11 with grades about 17 grams to provide another kicker. A critical path to bring Block 10 into production is getting ventilation infrastructure into the right place, which we expect towards the Q2 of next year. We'll see that in the next slide. This will allow us to ramp up Block 10 and also to bring in Block 1 getting us comfortably over 300,000 ounces next year. Turning to the trial of the underhand drift and fill mining method. This has gone to plan. The concept is proven in the trial area with paste strength good and curing time down to 14 days. We will continue to ramp this over the rest of this year as we established a new full scale - full scale site in Block 8 lower. So, phase 3 of our projects and of construction projects achieved 89% of overall completion by the end of Q2 2024. Dewatering has been completed to the shaft bottom and construction has started on the dam and pump station building. The settlement of the project is expected to add another 6,000 tons per day hosting capacity for the mine, refurbishment of the KMS shaft is on track for completion by the end of 2024 and the added flexibility a significant benefit. At the same time that KMVS vent shaft will allow us to ramp up volumes from the Block 10. More specifically, we will be able to develop several mining fronts on Block 10 and onewhich will help optimize the significant infrastructure we will have ready and hence surpass the 400,000 level we have spoken in the past. We plan to host a site visit to Obuasi ahead of next year's in Dhaba [Ph] where we'll be able to showcase the huge strides made in the infrastructure development that will enable this access to mining areas and we will also provide an expected ramp up during next five years of Obuasi. Full asset potential continues to yield results across the portfolio at Sunrise Dam, despite the weather challenges in year one, underground tons in Q2 stepped back up and around 220,000 per month. The better haulage performance was underpinned by improvements in stope availability and fleet utilization. We'll look to sustain these levels in 2024 thereafter drive the next step changes to the focal asset performance target. We have completed all of our assets and are now starting a second wave of FAP starting again with Sunrise, where we have already identified more than $100 million of potential benefits. Full asset potential will continue to be at the heart of our improvements in productivity and has reductions in our cash cost. As I showed earlier, recoveries at Siguiri are up after interventions in Q1. We are excluded the Guinea ore from the blend and ore is being sourced from alternative deposits stabilizing plant performance. We will look to make low CapEx modifications to the plant with a specific focus on management of carbon and oxygen levels. Educating continues to perform very well. We've driven improvements in drill and blasts, as well as processes to get better fragmentation. We’ve optimized the load and haul process to get better ore delivery to the plant and we sharpened our maintenance practices to achieve better overall equipment availability. At Geita, underground ore tons from Nyankanga are ahead of our full asset potential targets. We're delivering backfield directly to stopes via drills from surface rather than using trucks. This in turn has debottlecked our underground materials handling capacity and improved overall stope availability. Apart from the benefits in the incremental EBITDA, we've been able to generate, the true value of this program goes beyond dollars and ounces. Over the past two years, the full asset potential program has given us significantly more resilient to help offset inflation and counter that impact of production interruptions across our portfolio. I'll tell you the same thing that I tell our employees and my Board, which is that the proof in the numbers. The proof is in the bottom-line. It’s our ability to meet and to sustain and improve bottom-line that matters. Improvements in bottom-line and that's what this is $464 million of improvements of incremental EBITDA in the past two years. On regarding of the future, we have a strong pipeline of organic options. We are executing on Obuasi that will give us additional medium-term ounces. Nevada is a game-changer. I will talk more about it now. We see the region producing as many as 500,000 ounce over a multi-year period at Tier-1 cost and longer term, we have a world-class copper gold deposit in Quebradona, which gives us optionality and exposure to the energy transition. This is what I think a very nice graph and this is different we put new information. It continues, Merlin continues to deliver strong asset results. Further supporting this is a high-grade world-class ore body. In this section you can see the extent and size of the deposit along with some very exciting new intercepts which continued to upgrade the quality of this impressive ore body. 66,000 meters - 66 kilometers of mainly infield drilling we’re completing during the first half. You will obviously look to this cross-section in your own time, but I’d just like to highlight some of the high-grade intercepts over a significant widths. So you can see there a 144 meters at 10.53 grams per ton. You can see 30.4 meters at 8.53, you can see 190 meters at 5.2. You can see 160 meters at 5.85. You can see 50 meters at 3.9. So it is - all of this is - has all of the signs of another truly Tier-1 deposits in North America. The PFS program to expand, Silicon is expected to be completed by mid-2025. And don’t know it's full progr where permitting is underway, engineering reached the 30% completion milestone in Q2 2024, in line with the plan engineering schedule and we will continue to provide further updates in Q3. Okay, this is now to Gillian.
Gillian Doran: Thank you, Alberto, and good day, everyone. I’ll start with the macro factors and so gold price was up strongly during the first half at 14% outpacing most major asset classes. Most encouraging is the fact that this move at first doesn't appear to be driven by a single factor and that it came despite elebvated rates in the US. We saw continued healthy demand from central banks, robust investment flows at Asia and customer demand all against the backdrop of growing geopolitical uncertainty. As we’ve said before, we entered into zero cost colors at the start of the year to cater for downside price risk given the high cost and uncertainty at our Brazil operations. The contracts covered the full year of 2024 with 150,000 ounces remaining for the second half of this year. The average spot price in the first half was 2,205 an ounce, which equates to realized loss of $118 an ounce or $23 million during the first half. Due to the strength of the US economy, inflation remains at elevated levels. Our realized inflation rate was about 6% for the first half of ’24 and this impact was partially offset by currency exchange weakness against the US dollar, most notably for AGA in the Australia and Argentina business units. As Alberto has highlighted, really strong financial performance for the first half. The average gold price received was up 14% year-on-year. Adjusted EBITDA of $1.12 billion was up 65% yea-on-year, again well ahead of the higher price and on the back of higher ounces sold and lower operating costs. Headline earnings of $313 million or US$0.74 per share, will well compared to $61 million or $0.41 per share in the first half of last year. Its improvements more than 400% was due to the strong operational performance offset by one-offs with the realized hedging loss I mentioned earlier and additional [Indiscernible] costs for the active closure management at both CDS and MSG. Total capital increased by 11% and this is in line with our internal plans resulting in free cash flow of $206 million against the prior year out flow of $205 million. Free cash flow before growth capital expenditure, the metric on which dividend payment is based was $337 million and near fivefold increase year-on-year. Given our robust financial performance and the confidence we have in our ongoing performance for the second half, we declared an interim dividend of $0.22 per share, which equates to a payout ratio of 27%, in line with our policy minimum. We are mindful that despite the healthy gold price environment, we must remain focused on proactive cost management. This is non-negotiable for us as we continue to regain our cost-competitiveness. If you look at our costs, you'll see, we’ve delivered an aggregate 1% reduction year-on-year. When you unpack the detail, you can see CPI inflation was around 6%. Royalties from higher gold price 2%, a slight increase in fuel price, offset by currency change of 4% as I mentioned primarily in Australia and Argentina. We then normalize for one-offs which was last year’s impact from the tank fail in Siguiri unwinding and this year’s impact of the rainfall events in Australia. The reduction in cash cost of $44 an ounce is related to volume, grade and costs, mainly characterized by improved operational performance through productivity improvements, better grades, enhanced cost efficiency, particularly across Latam and in Iduapriem. The 2% year-on-year increase in ASIC followed a planned increase in sustaining capital investment and this is really around ensuring we have adequate flexibility in operations with longer leads in ore development and stripping our targets for ore development is at least 12 months in advance and longer perhaps for stripping. On free cash flow, this chart is just helpful in showing how we manage to capture & flow through the benefit of higher gold price. The gold price drove a $318 million increase in cash receipts. The positive movement in sales volumes, operating costs and working capital is a consequence of the discipline in operational excellence. We focus specifically on cash conversion, which has not historically been one of our strengths. We received cash inflows from Kibali in the form of loan repayments and dividends of $90 million. At the end of June, our share of outstanding cash balances from the DRC was $19 million, down from $51 million at the end of last year. Higher profits resulted in a $40 million increase in tax payments alongside the higher CapEx that I previously mentioned. The balance sheet remains strong with cash on hand and undrawn facilities providing very good liquidity at around $2.3 billion. Leverage is well within our target range at 0.6 times even as we invest in our operating assets and pipeline and we have no material near term maturities. S&P concluded their annual review in April leaving our credit rating unchanged and our as stable. We continue to engage with the rating agencies to communicate the improvement - the improving fundamentals of our business. Our guidance. Our guidance remains unchanged. At the midpoint, we anticipate production growth of about 4% this year. Cash cost per ounce are more or less flat at the midpoint, as we see more potential full potential benefits offsetting inflation and the anticipated stronger Aussie dollar. We see sustaining CapEx growing slightly as we increase investments in reserves developments, but in line with our plans at growth CapEx is also expected to increase from last year's levels as we continue to invest in our next major production center in Nevada. I’ll back to Alberto for is concluding remarks.
Alberto Calderon : Thank you, Gillian. When I joined this business just under three years ago, the mission was simple, to safely regain cost competitiveness, to be able to approach the multiples of our largest gold competitors. At the time we had jumped to the top of the industry cost curve. Men in late 2021 was new senior leadership working alongside empowered operating and put a nuclear operating model in place. We implemented the full potential program to turn the tide. Today we can take a step back to check in how we are tracking against our original goal. With mid-2021 as the base and adjusting for US CPI only, although we have faced stronger than that. Our cash costs are about 4% lower in real terms relative to a 16% average increase for the peer group and even with the inevitable stumbles that happen in this business we've managed to achieve guidance on our key metrics each year and in 2024 barring any unexpected events we will do it again. We obviously have more to do. And we will always have more to do because this is an improvement – continuous improvement mentality. But we believe we have now embedded in our business the tool that helps us to do that. In conclusion, at the halfway point this year, the performance has been I would say very solid even after the headwinds of Q1. But you've heard is that the year-on-year comparison was strong, the simplest views shows production up and cash flows down. Cash conversion is significantly better hence the strong gains in cash flow, earnings and dividends. Q3 is off to a good start, taking up to an even better second half. Full potential is working as intended. Our free cash flow showed a stunning turnaround from minus around $200 million in H1 2023 to a positive plus $200 million in the first half of this year. As we look to the second half and all things being equal, the gold price staying where it is, we anticipate free cash flow more than doubling the H1 levels. More importantly, if we go back to this half, the growth in cash flows in H1 one has outpaced the impact of the higher gold price on our revenues and profits. In fact, it is 30% higher. This effectively means we've been able not only to keep every penny of the gold price increase, but to surpass it, thanks to our full asset potential program. In closing, we're stronger, more competitive and well placed to continue this improving trajectory and we have our eyes on the remaining catalyst to completely close this gap. Thank you.
Operator: [Operator Instructions] The first question that we have comes from Adrian Hammond of SPG Securities. Please go ahead.
Adrian Hammond: Thanks, operator. Good day, everyone and thanks Alberto and Gillian for the presentation and well done on the good performance. I have a couple of questions if I may. Alberto, just your cost performance clearly really good and you put up that slide of 4% reduction in real terms. So, where do you think that could end up with the asset potential program? What's more to come? And notwithstanding your peers that was at some trouble with the earning profiles and I suspect there's some benefits coming their way. So, as you know with this business,it’s your on a treadmill constantly and you're trying to remain competitive. So do you think you have enough ammo in the – down the line to remain competitive position on the cost curve as you are moving towards? That's the first one. And then secondly on Obuasi. You mentioned a target of 360 in Q3, when do you see that’s being achieved now?
Alberto Calderon: Thank you, Adrian. It is, you are right that right to treadmill and its relative performance. Look, I can only - again we've seen how we’ve closed this year, the guidance. And I can only say that we - when we look for example at Sunrise and I mentioned about, this is where we relaunched the second wave. And I don't know the word is surprised but we were all quite happy with the possibilities that the team found again. At some point, this will diminish. But the possibilities on Sunrise in the second wave, as I mentioned was about $100 million. So, look, I think that we should still be able to continue to counter inflation. And if that is the case, I think that we will remain quite competitive. Again we don't bank on this high gold price, but it is probably clear that the long-term gold price will be more probably more on the $1800. And even at that level, we plan to have a very profitable company. But in the meantime, obviously, we want to maximize the cash flows. I probably - I would want to make a bit more that's related to what you said, but yeah, the ability of companies to pass the gold price into profits I think is something that is quite that’s important right now. In Obuasi, so, what happens, we probably will asses Block 10 a bit later than we thought we would. We right now probably think we can get to, 3, 320 of annualize but probably until we get to Block 10 we probably can't access higher than that. What we plan to do Adrian, and that's why I said we plan to have this visit in January. We're very - the good news is that the infrastructure that is cost more than a billion dollars will be soon be over and we will have everything in place to produce what we said in the past in the medium to longer term 350,000 and then plus 400,000. It's just a matter of the ventilation is very critical and we now know that we can only access very limited Block 10 until we have that full ventilation shaft working. We've said Q2 we're trying to accelerate it. So 2025 depends on what we can have that ventilation and when we can properly assess Block 19. What I would say is, and as I I've said it in the past, we have any doubts or anything that we will able to access properly Blocks 10, Block 11 and get this mine where it should be, we have zero doubts about that. Well, we have some volatility still in months. Yes, we probably still, we're talking about being in the lowest end of the guidance, but still with the guidance. So we're trying to do everything to come to be around that number for this year.
Adrian Hammond: Thanks, that's clear. And then just for Gillian on the credit rating, it seems like I get a sense it should be bit better. You cannot think that that's up for review given your improved performance as a business as it is you and notwithstanding your operations are still in the same jurisdictions, but your listing has changed. But I would think your plans of exposure growing into Nevada should appease the credit rating agencies and really think that rating could go and what’s sort of benefits you should see on the finance charges? Thanks.
Gillian Doran: Thanks, Adrian, I think, I definitely wouldn’t want to opine specifically on what credit rating agencies were to do. We are sort of actively engaging with them as we should, I think they are quite positive around the sort of consistency of performance and consistency of delivery, and that’s definitely getting us positive momentum. I think you highlighted the sort of jurisdictional profile of our business and the reality is Nevada is not a not an operating asset at this point in time. I think the other thing I would probably say is the rating agencies quite rightly don't consider the gold price environments and they're not as bullish on gold price items. So I probably round it at all by saying, we’re pleased with the dialogue that we have. There is some positive momentum and we are getting feedback around consistency and delivery and we'll continue to engage with them as we should. But I wouldn’t want to anticipate timing of a change at this point in time.
Adrian Hammond: Thank you.
Operator: Thank you, sir. So thanks for the next. Next question…
Alberto Calderon: Thanks, Adrian.
Operator: The next question we have comes from Leroy Mnguni of HSBC. Please go ahead.
Leroy Mnguni: Good afternoon, Gillian and Alberto. Thanks for the opportunity. I've got two questions for Gillian. So your effective tax rate is pretty high, I think it’s about 45% when I read calculated. Much higher than I had expected. Could you please unpack what is driving that? And then, generally, if I look through your numbers, you seem to have beaten or at least broadly in line on most of the numbers except your hits. Are there any other sort abnormal items included in hits or non-recurring items that we should consider when when analyzing that?
Gillian Doran: Yeah, thanks, thank you for that, Leroy. So on the effective tax rate, on current tax rate is 32%. We do have an adjustment for deferred tax and it's a difference between local GAAP and IFRS accounting policy in Brazil and Argentina. It's not derived from earnings and it pushes the tax rate up. So it's a $75 million adjustment at non-cash earns non-earnings driven basically. So it's almost one of those anomalies in the way we need to report our tax rate position. But I think it’s important to note that our effective tax rate or current tax rate is in line with the prior period at 32% On the sort of one-offs in earnings, I mentioned the two primary ones and they are one-offs, but just to sort of reiterate those, it's the hedging loss that I talked about for the hedge and then we had two additions to closure provision in Brazil $18 million at CDs and 41 million at MSG. And that goes directly to earnings just as a consequence of the fact that you're inactive decharacterization of those tailings facilities. How do we see this playing out in the future? So we characterize those aspects as one-offs. We are in active closure and for those tailings facilities in Brazil. We continue to monitor them, but at today, we believe we've provided as it quickly for the closure within our accounts as you would expect it to. So not anticipating a change from today, but in an active closure we will continue to monitor.
Leroy Mnguni: Alright, thank you. That's very clear and then, maybe just one question for Alberto as well if I may. It seems like at Obuasi, underhand cut and full testing went pretty well and you are fairly confident at that would work as you roll it on. I remember in the past you said, it actually is a better mining method because you're able to be more accurate and you are taking less weight. So I was wondering if you would consider applying underhand cuts and full to some of the areas that were initially intended for sub-level stoping is there an opportunity there at all?
Alberto Calderon: Thanks for the question. So look. We continue to make process. We have proven this method. What we believe is that it will be used in the areas, where we find the most difficult ground conditions. So for example, what we right now are doing it is at the lowest of a Block 8. And we are starting this now in form. So we anticipate that part of Block 10 will be mined with this method. But we have to get there and we will have to assess. We will give you more details. We have some plans already of what percentage, it’s still going to be low, but significant in 2025, but we'll talk about more when hopefully your accomplice on site on in January of next year?
Leroy Mnguni: Thank you. Yeah, looking forward to the trip.
Operator: Thank you very much sir. The next question we have comes from Chris Nicholson of RMB Morgan Stanley. Please go ahead.
Chris Nicholson : Hi, good afternoon, good morning all. I have couple of questions I think mainly for you Gillian. And just the first one is just around the dividend payments and free cash flow. You mentioned obviously that you anticipate free cash flow more than doubling in the second half. What are you going to do with all the cash if prices remain here you should have scope to the dividend and payment even higher. So any views on that? And then second, just to confirm specifically on the hedging. With the plants coming back on in Brazil now just to confirm it's for your thinking that these were one-off type of hedging events. There is no tension to roll any hedges further into 2025 onwards at these gold prices. Thank you.
Alberto Calderon: I'll probably take that, Gillian if you and you can complement me. Starting for the probably by the second one the hedges, it was it's the exception to the rule that we don't hedge last year after we especially after losing a hundred and something million in the first half in free cash flow. We wanted to ensure that we would give certainty to the operations of a price and it was with a collar that would and at that price they had to be cash neutral. And that was sort of the mandate I think it was the right decision then it would have been difficult we beleive if the prices were kept at that level where they were when we took the hedge to have another year of negative sort of cash flow. So I think we - it was the right decision then. But, yes, it was the exception. So we don't plan to review them. We don't plan to extend them. And right now, we don't see any necessity for cash before any hedging So in dividend, what I wanted to take that is, look, the policy hasn't changed. The policy is a minimum of 20%, but obviously we can go higher. And so right now, the only thing that we are signaling at this stage is that we're confident that we're going to have again, without anything unusual a significant year. And hence it was most probably it will be above the 20% dividend for the full year. So, at this stage, I don't want to - we will probably be at a very low end of gearing, maybe on 3.4 around the year. So yeah, we'll cross that bridge when we get there, but there's no intention right now to change any policy or anything of that sort. We’ll probably keep dealing it with dividend.
Chris Nicholson : Okay, thank you very much, Alberto.
Operator: Thank you sir. The next question we have comes from Raj Ray of BMO Capital Markets. Please go ahead.
Raj Ray : Thank you, operator and good day, Albert and team. My first question is on your operation outlook for the second half. I mean, Q2 is a production improved across most of your asset bases. If you look at the second half, which assets do you think this potential risk outside of Obuasi? And then coming to Obuasi, the second half, even if you do like the lower end, 275 that's still almost a 50% to 60% improvement you need or what you did in the first half of the year per quarter. Any comments on how or where you stand at this point in August with respect to be able to with respect to development rates and your ability to meet that production? And then lastly a question for Gillian. On the working capital movement for the first half of the year, can you comment on that? And how much of that would you expect to unwind in the second half? Thank you.
Alberto Calderon: So, look all operations are and interesting sort of because they have an inertia on the positive side and on the negative side. And right now, we have a positive inertia I would think of all of our operations in Siguiri, in Sunrise, in Tropicana we've recovered. Brazil CDSA is doing well. And then there's a positive momentum in all the other. So that sort of underpins the confidence of why we think we are guiding towards sort of the middle of the range in terms of production. Now Obuasi, I mentioned we did annualize 300 in June and we're going to surpass that in August. We sort of know where it is and we know it's the grades. I talked about a grade of about 7.9 in June while the average grade for the first half was 5.6. So, that's where we do see a significant uplift in production in the second half. if it gets to exactly to 70 or to 60 or if it's 160 or 170 again, nobody knows. Is it going to - are we seeing already the levels into June and August are required to sort of reach that low end of the guidance. We are seeing them. As I probably said before the most important thing for the future is that level of a hundred thousand a hundred and maybe eventually it's going to be 110,000 and then a 120,000 tons of four per month when we have all of the infrastructure going. And that level, if you look at the average grades of Block 10 and Block 11 is what really, yeah, that's when you start getting a much, much higher ounces per month. But for the volatility in the short run, the answer is we do expect a significantly better in the second half. We will see exactly where we end up, but already it's showing good signs.
Gillian Doran: Thanks, Raj, For your question, I think on working capital, we're not anticipating and unwind and we what we did in the first half was reduce inventory. So gold in hat, we basically held all on the ground and in process material. We also had a reduction in receivables because we didn't have the sort of concentrate data that we did have at the first half of last year out of Brazil as you’ll probably recall. So we anticipate maintaining that discipline around inventory and debtors. On the 80, we did see further opportunity and we had an inflow reduction in tables in the first half. And we're working with our Supply chain leads and our treasury team to just optimize that payables book. So a long way of saying we want to stay stable albeit Alberto wants to optimize further as well, but definitely no unwind on for the second half.
Raj Ray : Okay Gillian. And then can you, I didn't see the number on the cash flow statement. What was the working capital movement for the first half?
Gillian Doran: So the movement year on year was a positive $46 million. On the free cash flow reconciliation. Actual movement was $160 million of change in working capital year-on-year.
Raj Ray : Okay. Okay, thank you.
Gillian Doran: Which was better than.
Raj Ray : Okay.
Alberto Calderon: I still think it could to be a bit better, but okay.
Raj Ray : Thank you, that's it for me.
Operator: Thank you sir. The next question we have comes from Adrian Day of Adrian Day Asset Management. Please go ahead?
Adrian Day: Yes, good morning. I wanted to ask you if I may about the Nevada. You said the most of the drilling you've done recently has been infill drilling. When I look at the map, there seems to be quite a lot of drilling to the west of Silicon, which you mentioned on your last conference call but you didn't talk about it today. Is there anything significant there?
Alberto Calderon: That I probably got to ask for help on - Terry I don't know or Marcelo.
Unidentified Company Representative: And all the - I mean we're not infill drilling Silicon. Our focus is on the higher grade portion you see outlined on that map. That map shows some Merlin long section which is the focus of our PFS.
Adrian Day: Right, I'm sorry, I'm meant Merlin, but there's a lot of drilling to the west of Merlin, but you mentioned on your last conference call, is that what you're meaning by the infill drilling?
Unidentified Company Representative: The infill drilling is within the Merlin pit outline in red on that plant view map on Slide 13. All the drilling has been within that pit area.
Adrian Day: Okay. Okay. Okay. But there seems a lot of drill holes to the west of the pits of Merlin.
Unidentified Company Representative: Yeah, I mean, if you're looking like green dots on the on the map.
Adrian Day: Yeah.
Unidentified Company Representative: Yeah, some of that is earlier drilling or technical drilling to high ore stability, but as I said, most focus has been on interestingly mineral resource.
Adrian Day: Okay. Okay. Okay. No, thank you then. That thank you.
Alberto Calderon: Thanks, Adrian.
Adrian Day: Thanks, Terry.
Operator: Thank you. The next question we have comes from Tanya Jakusconek of Scotia Bank. Please go ahead.
Tanya Jakusconek:
, :
Alberto Calderon: Thanks, Tanya. Yes, they are I think that I saw something in the probably the June script, but it's not the midpoint. We're going towards the lowest end. There is some technical changes in that we are now going to be reporting attributable. So 100% of Siguiri and 100% of the others. And so that has lead to increase a bit, but we're still much closer. So the low end of the guidance is 1075 and I think we will be going, yeah maybe $20 $25 higher than that. So that's the lowest end in my mind. And this is after the change that we've done in attributable. Without that change we would be just…
Tanya Jakusconek: Okay. So, it's volume as well, okay got it. And then, just so and again keeping in mind that any further asset potential progress you are making we’re just thinking of that is just offsetting inflation.
Alberto Calderon: I don't know, Tanya. I think at least inflation would be my thing. But if I look at Sunrise again, and if we can actually, right now is we have a target that is a bit more than a hundred, but it’s not where the case. Yeah, that would probably even more than offset inflation. So, I don't know, I've been very hesitant on giving up targets, I have preferred to just show what we’ve delivered. So I would probably put it at a minimum. And hopefully going more than offsetting.
Tanya Jakusconek: Okay. Okay. And then, just a couple of housekeeping items. I just saw – just wanted to know where we stand on Ghana that joint venture, is that's happening anytime soon? Or where are we on that? And I also noticed you mentioned Quebradona I have heard about this asset for a while. So what's changed there as well? And then I have a final one for Gillian on US GAAP.
Alberto Calderon: Okay, so, look the JV I would probably say that I am more optimistic than I would have been in the last quarter. We're very keen - very aligned with gold fields. And I think we've made very good progress with the government. But there's still somewhere sometime and some processes to go. We're still in. The in the middle of negotiations. So I wouldn't want to comment on any detail. But just if you would talk about that ore body so that I would be more positive that this will eventually happen and we should for the next quarter I think we should have more news. But I think that, yeah, I would say, it's a much, much more positive outlook that the JV will happen then I would have been three months ago. Quebradona, we just continue to make a progress on an optimal feasibility study and on measuring water and all of that. So, but, as if we point out, it's a long-term sort of option. Currently, with I would say this. government in place is probably not the friendliest of oil or coal or any type of mining. So we're – we would expect to continue sort of negotiations renew them in about two years, but this is for the license. But we continue to make progress on the other side of the optimal feasibility study and all of that and it is a very good project. But as we put out in the presentation, it's a much more long term option.
Tanya Jakusconek: Okay, and then maybe for you Gillian, Just on US GAAP am I still thinking where so 12 to 18 months out adapting US GAAP?
Gillian Doran: Thanks, Tanya. So I think first we probably would say that we are now set up to report our fill financials quarterly under IFRS from now. So Q3 and will be the same level of disclosure as you can see here in Q2 and then ongoing. We have reconfirmed our domestic filer status under the SEC rules this in June. And so that means that next test will be the 30th of June 2025 and our plan is to go live with US GAAP from the 1st of January 2026. If we were in a position where we are following foreign filer status next year, we would adopt to that. And but for now, you can consider 1st of January 2026 for US government. I think maybe just [Inaudible] we as AngloGold Ashanti some people will know reported under US GAAP 13 years ago. And so the exercise of re-reporting under US GAAP requires the sort of reconciliation of the balance sheet from that 13 years ago to today. So big piece of work that the team is very actively working on now but sort of no small work for the finance team anyway.
Tanya Jakusconek: Okay. Thank you so much for that. Appreciate you taking my questions. Thank you and congrats on a good quarter.
Alberto Calderon: Okay. Thanks Tanya
Operator: Thank you. The last question we have on the conference call is a follow-up from Leroy Mnguni Please go ahead sir. Leroy, your line is live sir.
Leroy Mnguni: Apologies for that. Thanks. Thanks for the opportunity. Alberto, I just wanted to follow up on a few comments you made when you spoke about the quarterly results in May. The first one I remember you said for CDS there was a potential buyer that was interested that you thought was a responsible operator and a good candidate to anything come from that. And then Sierra Grande, it's sort of your hinting towards the not really having a future in your portfolio. But I guess in a higher gold price environment your views on that asset changed at all?
Alberto Calderon: Thanks, Leroy. In CDS, we continue to talk with this interested party. So that is continuing. And on Sierra Grande, look even the world changes when you have a cash producing asset. So I just think that the team has done a fabulous job in focusing on the things that matter. If you look at the biggest there's two things that change significantly, Sierra Grande which is the grade and the cost. So that's what makes it a positive free cash flow operation in the first half. But yes, it's that produces two things which is there's no burning platform to sell it. But it is of a scale that is probably the Jack Welch where probably will be worth more with somebody else than with us. So there's nothing active on selling, but if we would get a reasonable sort of buyer and it's going to be much easier now. Now there are some things that we are in both assets, we are still working a lot on making sure that we don't leave any significant license to operate environmental issues in particular of PFS like outstanding and in particular the decharacterization of some of these dams. So we want to make sure we finish it ourselves and then we don't leave any significant liability in the year if I may say so. So that probably will - would delay things. But so in a nutshell sure, we're happy with it right now. There's no burning issue. It's giving cash. The team is doing a great job. If they were a reasonable ask, yeah we would contemplate.
Leroy Mnguni: Understood. Thank you.
Stewart Bailey: Thanks Leroy. Alberto we've got some questions from the webcast. Now just a rapid fire round. We've covered a lot of them in the other answers, but if I might just start by saying, given the elevated - this is from Martin Creamer Mining Weekly, says given the elevated performance, how far do you estimate AngloGold Ashanti may be from catching up with the valuations of its North American peers?
Alberto Calderon: Look, we always knew just because of President what happened in particularly for Anglo American for example and others really - it's getting its time and all of that. It takes time for every rating two or three years and the reason for that is that you need to obviously the rating comes from accessing and let's say a good percentage of the gold capital that need today are underrepresented. And so that will take some time. But I am happy by the following: if you look at things, I don't usually talk about the share price because it is so volatile, but if you look at our performance in the last three years, it's probably with gold fields have been the by far the best performances. So I think we're already beginning to catch that our valuations with our peers and obviously, so our performance in share price versus our large competitors has been significantly higher. So but there is still a gap to close in indicators like EBIT to EBITDA and I think it will take some time. I'd probably find on by saying the interest in the company from the America and from the US and the Canadian market is significant. And we're very busy. Again Gillian, Stewart and I and all of the extra – us three are very busy and after results and then in all of these meetings and Denver will go by et cetera, et cetera. So the interest is there.
Stewart Bailey: Alright, Alberto. Just a quick follow-on from Martin, he says AngloGold has clearly declared war on inflation. What do you find most effective in lowering costs? And are you still confident you can do more?
Alberto Calderon: Look, one area where we are starting now to do probably more is on supply. And that's now an important part of full asset potential. We already started it with. We’re very happy with a very. I think win-win negotiation we did with explosives where we now have a global, mainly eventually, we'll have a global explosives company in a long-term contract. And that win-win allows you to for much more transparent pricing. And what was very good with that contract is we were able to get back to the prices of 2021. If you remember 2022-23 with inflation ammonia went dramatically up, fuel when dramatically up. But one of the problems with these type of mining services, if you don't - are careful they never go down and they should go down because ammonia went down and oil went down et cetera. And so, that's so we have we're going to work on the big on supply and we think we would still have a way to go there. But probably I will add to Martin's question a lot of us is not by lowering the numerator but the denominator. And that is doing more ounces with the same cost and that's how we have been able to lowering in real terms that cash cost per ounce.
Stewart Bailey: Thanks, Alberto. Just a couple more [Indiscernible] says does the free cash flow figure of $202 million. include Kibali proceds loans and dividends. That's the first one and the second, is the Brazil performance sustainable into H2? What has been the run rate in the opening months of H2?
Gillian Doran: So, on the first one, yes, the free cash flow does includes Kibali proceeds loans and dividends.
Alberto Calderon: Yeah and then Brazil it is sustainable. As you can see, we're seeing it - right now as we start the third quarter it is - it's just a new team is doing a much better job. So with that inertia that I spoke about is continuing into the second half.
Stewart Bailey: And then – pardon me Alberto. Herbert [Indiscernible] from ABSA and Herbert your tax charge question asked and answered. Catherine your Obuasi guidance question I think asked and answered, as well. So I think, with that, Alberto, we're out of time. So maybe just a concluding remark and we can wrap.
Alberto Calderon: Look, we just need to continue to do what we're doing. There's a whole – our company just always want to remind us just 30,000 people who do this. And there is a good organization. They are a good processes, good procedures in place, good operating model in place. People are empowered at the assets. We have very good operators from GMs SVPs, VPs across the company and everybody sort of knows what to do. And so, we are confident again we are barring anything that we don't know today. That that momentum that we especially see in the second quarter will continue into Q3 and Q4. And that's it. It's just keep doing what we're doing.
Stewart Bailey: Thanks Alberto.
Alberto Calderon: Thank you.
Stewart Bailey: Thanks, Alberto.
Alberto Calderon: Good. Thank you all. Cheers Bye. Thank you.
Operator: Thank you very much sir. Ladies and gentlemen, that then concludes today's conference. Thank you for joining us. You may now disconnect your lines.